Operator: Good morning, ladies and gentlemen, and welcome to the Element Solutions Q1 2021 Financial Results Conference Call. [Operator Instructions] Please note today's call may be recorded. [Operator Instructions] I will now turn the call over to Varun Gokarn, Senior Director of Strategy and Finance. Please go ahead.
Varun Gokarn: Good morning, and thank you for participating in our first quarter 2021 earnings conference call. Joining me are Executive Chairman, Sir Martin Franklin; CEO, Ben Gliklich; and CFO, Carey Dorman. In accordance with Regulation FD or fair disclosure, we are webcasting this conference call. Any redistribution, retransmission or rebroadcast of this call in any form without the expressed written consent of Element Solutions is strictly prohibited. During today's call, we will make certain forward-looking statements that reflect our current views about the company's future performance and financial results. These statements are based on assumptions and expectations of future events that are subject to risks and uncertainties. Please refer to our earnings release, supplemental slides and most recent SEC filings for a discussion of material risk factors that could cause actual results to differ from our expectations and predictions. These materials can be found on the company's website at www.elementsolutionsinc.com in the Investors section under News & Events. Today's materials also include financial information that has not been prepared in accordance with U.S. GAAP. Please refer to the earnings release and supplemental slides for definitions and reconciliations of these non-GAAP measures to comparable GAAP financial measures. It is now my pleasure to introduce Ben Gliklich, CEO of Element Solutions.
Ben Gliklich: Thank you, Varun, and good morning, everyone. Thanks for joining. We had an outstanding quarter to begin 2021, continuing our momentum exiting our record fourth quarter of 2020. Underlying demand remained robust in the electronic supply chain and the broader industrial economy continued to accelerate. These results demonstrate the positive inflection we've seen in our core markets driven by the secular mega trends of increasing electronics and automotive applications, increasing penetration of electric vehicles and increasing content value in higher-end 5G mobile technology. Our team is executing well on its strategy of positioning the business in attractive growth markets and capturing value above and beyond market growth even in these faster-growing areas. Our volumes across our circuitry, assembly, semi and industrial businesses were very strong. The increase in demand in our end markets stretched our broader supply chains and created challenges in the first quarter. Logistics became complicated due to unavailability of containers and delays at ports and certain raw materials are becoming scarce and more expensive. We're fortunate to have a nimble supply chain that helped insulate us from significant disruptions. Our teams navigated these pressures well to meet the surge in demand. The benefit of volume and higher growth from higher-margin products, which we believe should be a recurring trend, more than offset the supply chain cost inflation realized in the first quarter. Our cash flow reflects the decision to build stocks in case of persisting raw material shortages. We also saw an impact from shortages of semiconductors on the automotive supply chain. The industrial business saw muted growth from automotive customers in the West which was more than offset by strong demand in the broader construction, machinery and building products markets. While the global economy is proving resilient, the pandemic is far from over in many of the countries in which we operate. The accelerating pace of vaccination is cause for hope that there's a long road ahead of us. The safety and security of our employees and partners around the world remain our #1 priority, and we continue to operate under companywide health and safety protocols. We're deeply grateful to our colleagues who have remained focused on supporting our company and our customers in the midst of this extended challenging backdrop. On Slide 3, you can see a summary of our record first quarter financial results. We grew the top line 11% organically year-over-year and adjusted EBITDA by 25%. This level of organic growth, slightly higher than the pace of growth in the fourth quarter of 2020 reflects sustained sequential strength in high-end electronics markets and our industrial-oriented businesses. Further improved by our lapping the shutdowns in Asian automotive markets that accompanied COVID-19 in the first quarter of 2020. Both FX translation and pass-through metal pricing positively impacted our net sales results by 4% and 5%, respectively. In constant currency terms, first quarter adjusted EBITDA grew 20%, and adjusted EBITDA margin expanded 60 basis points year-over-year. Volume and mix drove positive margins, partially offset by an increase in pass-through metals. At the same time, our operating expense reflects muted travel across all regions. We expect OpEx to increase sequentially over the course of the year as the pace of vaccination accelerates and economies begin to reopen more fully. However, we expect to manage OpEx to grow less than sales. Our adjusted EBITDA margin, excluding the impact of the $87 million of pass-through metal sales in our Assembly Solutions business was 29.8%. Adjusted earnings-per-share growth of 48% in the quarter reflects the improvement in operating profit, lower interest expense due to our 2020 bond refinancing and a lower adjusted tax rate, and it demonstrates our ability to compound earnings-per-share growth well in excess of adjusted EBITDA growth through prudent allocation of capital and liability management. Carey will now take you through our first quarter performance in more detail. Carey?
Carey Dorman: Thanks, Ben. Good morning, everyone. On Slide 4, we shared additional detail on the drivers of organic net sales growth in our two segments. Organic growth for Electronics was 18% in the first quarter, with all three verticals growing at double-digit rates. Global consumer and automotive electronics market sustained their high levels of demand sequentially, and we lapped the beginning of COVID-19 shutdowns in late Q1 2020. Strong demand from automotive and power electronics markets drove 27% organic growth in Assembly Solutions as the business lap declined in automotive electronics demand, particularly in Asia. Assembly Solutions was the only vertical in Electronics that declined in Q1 of 2020. Our Circuitry Solutions vertical grew 11% organically year-over-year, driven by strong demand in China and the Americas for both mobile and automotive electronics. Semi solutions also grew 11% organically seeing similar end market demand drivers for our wafer plating and advanced assembly products. On a year-over-year basis, adjusted EBITDA margins in our Electronics segment expanded 140 basis points, primarily due to operating leverage on the significantly higher sales dollars and positive mix impacts. We experienced raw material inflation in the quarter for metals and other inputs. Metals price increased significantly. In most cases, these are contractually passed on to customers, although they impact margins as net sales grow with no contribution to profit. Other input cost inflation was more modest. We work to offset these price increases by passing them on to customers, typically with a modest lag effect. Despite this inflation, margins improved both in the quarter and year-over-year. For the first quarter, organic net sales in Industrial & Specialty increased 1% as growth in Industrial Solutions offset declines in Graphics and Energy Solutions. Industrial Solutions grew 8% organically, recovering from a weak Q1 2020 that was impacted by the COVID-19 pandemic in Asia. Graphic Solutions declined organically by 12% year-over-year compared to a difficult Q1 2020 comp and the business grew 10% organically on the back of consumer packaging demand spiking early last year. Graphics was only down modestly on a sequential basis, driven by weaker-than-expected demand in Asia, corrugated packaging markets, which we expect to rebound in the coming quarters. Energy Solutions continues to be impacted by volatile energy prices. The business showed increasing net sales sequentially as energy prices have stabilized at higher levels. Slide five addresses cash flow and the balance sheet. We generated $24 million of free cash flow in the first quarter of the year. This was impacted by two dynamics unique to the first quarter. Our 2020 annual incentive compensation payments and our semiannual bond interest payment, which moved from Q2 to Q1 after our refinancing last August. Adjusting for these two items, free cash flow would be roughly flat to Q1 of 2020. The other large use of cash in the quarter was the sequential build in working capital of approximately $40 million. Inventory was the primary driver, growing by approximately $45 million compared to year-end 2020, driven by a combination of increased raw material prices, higher-than-expected demand and the need for increased safety stocks due to global supply chain disruption. In difficult times, we believe we can differentiate ourselves through business continuity. As we did at the beginning of 2020, we made the decision in this Q1 to increase our safety stocks to ensure we could continue to deliver for our customers. As we look to full year 2021, we now expect to generate approximately $285 million of free cash flow. This increase is driven by our updated expectations for adjusted EBITDA for the year, and partially offset by an increase in our cash tax and working capital investment expectations. Our net leverage at the end of Q1 2021 was 2.7 times. We were pleased to see that both Moody's and S&P recognized our continued strong credit position by upgrading all of our debt instruments and corporate ratings by either one or two notches. And with that, I will turn it back to Ben.
Ben Gliklich: Thanks, Carey. On the back of the strength in the first quarter, we're updating our guidance for 2021, which you can see on Slide 6. We expect to continue to benefit from the compelling secular trends that drove record results this quarter. We believe our markets remain very healthy. And overall, our teams are executing well against our strategies to capture value beyond market growth. We expect second quarter adjusted EBITDA to be in the range of $125 million to $130 million. This expectation is based on a similar top line result with slightly lower margins, driven by the impact of headwinds from rising raw materials and freight costs, higher OpEx from travel and our annual salary increases and a modestly stronger U.S. dollar. These results would represent adjusted EBITDA growth of approximately 50% over the second quarter of 2020, in which we experienced the greatest negative impact from the pandemic. We're increasing our full year 2021 adjusted EBITDA expectation to a range of between $500 million and $510 million, representing year-over-year growth of approximately 20%. This is up from our prior guidance of approximately 7% growth. Embedded in this guidance for the back half of the year is uncertainty as to how the pandemic driven seasonal shift in manufacturing we've seen over the past several quarters continues to play out. In addition, we assume no significant relapse to undermine progress against the virus. We're also raising our expectation for full year 2021 adjusted earnings per share to greater than $1.30, a meaningful increase from our previous guidance range of $1.10 to $1.15. This translates to at least 35% year-over-year growth. Importantly, while this guidance range assumes no additional capital allocation to buy back shares or make acquisitions, we believe our healthy balance sheet and the strong free cash flow generation we've demonstrated continue to afford us flexibility to deploy capital through the rest of the year, including potential bolt-on acquisitions. We continue to seek opportunities to deploy excess capital in the best interest of our shareholders and expect to increase our cash dividend in the second quarter by 20% to $0.06 per share. Our first quarter results demonstrated the resilience and strategic strength of our business and reinforced the conviction we have around the secular mega trends driving our growth now and over the longer term. At the same time, we believe we're executing on our strategy for Element Solutions to benefit disproportionately from these trends with targeted investments in strategic growth areas like high-end printed circuit board applications, power electronics and sustainable solutions. To wrap up, I'd like to thank all of our stakeholders for their continued support of Element Solutions, and in particular, our talented and dedicated people around the world responsible for this record quarter. With that, operator, please open the line for questions.
Operator: [Operator Instructions] And our first question will come from Steve Byrne with Bank of America. Your line is open.
Steve Byrne: Yes. Thank you. Ben, I'd be curious to hear your views on how your Electronics customers are responding to the chip shortage. For example, what can they do to increase throughput? And is there any shifting in their purchasing patterns, such as moving to premium products that might accelerate throughput? Or are they relying more on your service to correct problems? Anything along those lines that that could give you maybe more of a share gain down the road?
Ben Gliklich: Yes. Thanks for the question, Steve. Clearly, there's a big bottleneck in the Electronics supply chain, where supply isn't meeting demand, particularly in the semiconductor space. And you've seen the large semiconductor fabricators significantly increasing and ramping up their CapEx spend, accelerating it going forward. We've seen customers building extra stock of our products to support additional throughput so that has been having something of an impact recently. And we're seeing customers in the printed circuit board market, increasing their capacity and putting in new lines, and we've been winning a great deal of business as capacity ramps. So overall, as we said before, there's been -- there's a significant tailwind, not just in the short term, but our conviction and growth over the long-term has also firmed. Our products are at the higher end within our industry. And they're on the higher end because they provide better quality, which translates to better yield. And so we do expect to be taking share over time as customers are insisting upon that to improve their throughput to meet demand.
Steve Byrne: Okay. Thank you. And just thinking about your end markets that you lay out here and electronics in many of the industrial manufacturing customers that you have, that seems logical that your expertise and innovation in plating technologies and adhesion would have some shared benefits between those end markets. But when you think about your other end markets, perhaps there is some benefit in the plating business unit. The one that kind of jumps out is the drilling fluids on the offshore platforms. Is that a business that has some synergy to you that is not obvious to us? And/or is that potentially one that you might divest?
Ben Gliklich: So our portfolio across all of our end markets shares several attributes. Our products represent a small portion of our customers' overall cost. They're formulated rather than synthesized, so they're asset light. We rely not just on what's in the product, but in technical service, our customers rely on our people. And so there's quite a bit of overlap from an operating model perspective. While there may not necessarily be the same level of overlap from a commercial perspective with certain of our smaller businesses, but they're great businesses with strong margins and great cash flow characteristics. So we see value in the breadth of our portfolio, they give us avenues for additional capital allocation, which could be interesting for us. We're not going to put any of our businesses up for sale. They're very high-quality businesses that improve the breadth of our portfolio.
Steve Byrne: Okay. Thank you.
Operator: [Operator Instructions] And we will now continue to Chris Kapsch with Loop Capital Markets. Your line is open.
Chris Kapsch: Good morning, Ben. Just wondering if you could comment on what's contemplated in your second quarter and full year guidance with respect to automotive builds, especially in light of what Ford mentioned last night about production curtailments, I'm assuming other OEs will have similar comments. But can you just provide color on that?
Ben Gliklich: Yes, absolutely. So as we said in our prepared remarks, and thanks for the question, Chris, we saw less growth in our automotive business than we would have anticipated coming into the quarter because of the chip shortages. But that was more than offset from other end markets within our industrial business, that although they're smaller, like machinery, industrial equipment, building products relative to auto are growing really, really nicely. And so we saw growth in that industrial business despite the slowdown in the auto space. And we anticipate that to continue into the second quarter. As we've articulated with our guidance for the second quarter, we expect a similar top line result and significantly more free cash flow. So I would think free cash flow in the second quarter will approach $100 million. With regard to the second half, the real question around seasonality is how the impact of COVID drives a shift, a continued shift, in seasonal manufacturing patterns. We clearly saw that in 2020 in a normal year, the third quarter is a peak for us with things in the fourth quarter down sequentially, whereas last year, we saw the opposite, Q4 was 20% greater than Q3. In a typical year, November and December, we see a slowdown in activity. In last year, November and December were our biggest months. And so from where we sit today, we can't -- we don't really have visibility. There's uncertainty as to how the seasonal manufacturing patterns we've seen in the past will play out. And that's what will determine the third quarter and fourth quarter phasing and the relative strength of the first half relative to the second half, but we've got a good level of confidence that there are many ways for us to achieve our full year guidance in the context of automotive builds or otherwise.
Chris Kapsch: Okay. Thanks. And then the follow-up is on your comments about getting -- expecting and getting your fair share -- at least your fair share of new business as sort of plating and printed circuit board manufacturing capacity is built out. Can you just characterize like the cycle as that plays out as there's new capacity being brought on to address toward this tsunami and demand growth for the entire electronics industry ecosystem, is this something that will -- is there like a one quarter lag before you start seeing benefit from that? Or is it something that what you're seeing now in terms of getting spec in is really something that's going to contribute to growth next year. Any color on sort of the cycle and how that plays out? Thank you.
Ben Gliklich: Yes, absolutely. It's a good question, Chris. So we have visibility into when customers are putting in new manufacturing lines, whether that's Automotive or Electronics. And we're close to the customers, helping design what that solution should be, including our chemistry. And in most cases, with third-party equipment. We're not an equipment manufacturer, but we have equipment partners that will put in the equipment that our chemistry goes into. So we've got visibility as to when those lines are coming online. We win a piece of business anywhere between three and six months before it starts producing. And so the business -- that the growth we're seeing now is installed capacity from prior quarters. The ultimate driver of our sales is the throughput through those new lines. And so we don't have great visibility into absolute underlying volume on a go-forward basis, but we have a sense for our share and we have a sense for capacity growth. And clearly, there's capacity growth coming through at the moment. And that's why we say we've got conviction in the inflection that we saw last year having long legs. This isn't just additional throughput, it's additional capacity and underlying industry and market growth.
Chris Kapsch: Thank you.
Operator: We'll go now to Josh Spector with UBS. Your line is open.
Josh Spector: Hey, guys. Congrats on the great quarter to you guys and the full ESI team there. First, a near term question, just looking at second quarter, you talked about flat sequential sales, but EBITDA is down about $10 million. Wondering if you could kind of bucket that in terms of what's raw's catch up, what's temporary costs coming back in what are other items? And related to that, would you say you'd be caught up on the raw material and temporary cost pullback by the end of the second quarter?
Ben Gliklich: Yes. So thanks for the question, Josh. You captured the two buckets right. First, with regard to OpEx we are seeing progress against COVID, and we do expect travel to increase sequentially, which is part of the driver in addition to annual salary increases. That would be less than half of the sequential impact to EBITDA. The rest is raw material price inflation. Given our supply chain, raw materials will come through COGS in the second quarter. We didn't see a big impact other than metals in the first quarter. And so we will see some pressure in the second quarter that we are out actively taking price to offset that. With regard to how long that persists, it's really hard to speculate because raw material prices have been volatile. And so we may continue to see increasing raw materials over the course of the year, and we'll be in front of customers, offsetting that through price actions, albeit with a modest lag for as long as prices are going up to us.
Josh Spector: Okay. I appreciate that. And just stepping back, looking at your 2021 guide here, it's a pretty impressive step up versus a few years ago. I guess, in your opinion, kind of where are you now versus where you thought you'd be? And just assuming we could see a continued gradual recovery here from an economic perspective, do we grow ESI off of 2021 levels at what you would call your typical algorithm growth? Or is there anything else we should be thinking about?
Ben Gliklich: Yes. So clearly, the secular mega trends that we've been talking about as growth drivers for this business since we launched Element Solutions in 2019, took route and accelerated in 2020. And we believe these are long-term growth drivers. This is not a flash in the pan. This is not a blip. There are long legs to the market growth that we are experiencing, supported by an enhanced by our execution of our strategy, which is to focus our efforts on the faster-growing subsegments and getting more than our fair share of the value from that growth. And so that's what we're seeing playing out in 2021, and we would expect that to continue to play out in 2022, supported by prudent capital allocation. We've bought some businesses over the past several years. We've successfully integrated them. They are contributing to growth. They're contributing to profit growth, and will continue to do so going forward, which should allow for us to deliver on our ambitious objectives.
Josh Spector: Got it. Thank you.
Operator: We'll go now to Bob Koort with Goldman Sachs. Your line is open.
Bob Koort: Thank you. Good morning.
Ben Gliklich: Good morning, Bob.
Bob Koort: Ben, you guys had a little bit of a restrained cash flow. You mentioned building inventories through the first quarter. And then obviously, the guide suggests more prodigious generation through the balance of the year. You didn't buy back a lot of stock, so how do you think about capital deployment? It's just running some of your peer group, and it looks like multiples in the space have climbed 25%, 30%, in some cases, even higher. Those are public market metrics. So what's going on in the assets you're looking at? And should we expect maybe a bigger tilt toward repurchase as the year proceeds?
Ben Gliklich: Yes. Thanks for the question, Bob. You rightly pointed out, cash flow has been strong. EBITDA growth has given us from a multiple perspective, the healthiest balance sheet that we've had since we've been Element Solutions. And prudent capital allocation has always been part of Element's strategy to compound earnings per share. We've always been opportunistic in that regard. So in prior years, we've leaned more toward buying back stock, but we've also built a pretty good track record of buying businesses at attractive values and integrating them well. And so we are out now continuing to look for value in the market, and we've got confidence we'll be able to find that going forward here, while keeping our balance sheet healthy.
Bob Koort: And when you look at -- obviously, Electronics is just moving along very nicely. The industrial side, less so. When you give the guidance for the year, what is the cadence of recovery that you've baked in for that Industrial & Specialty segment? Thanks.
Ben Gliklich: Yes. So within the Industrial & Specialty, I mean, we've got three businesses, the industrial surface treatment business, which is the biggest, and it's lapping a very slow second quarter in 2020 and still a slow second -- third quarter in 2020, and we had a pretty strong fourth quarter, as we referred to. So we would expect the industrial surface treatment to continue to perform at or above the levels we saw in the first quarter going forward here until we run-up against that fourth quarter comp. With regard to the two smaller businesses: the Graphics and the Offshore business, the Graphics business is comping against Q1 2020 when you couldn't buy packaged food in the supermarkets. It was a big bump in demand in Q1 2020, followed by a slowdown. And so we do expect progress on a year-over-year basis and sequentially in the graphics business. Similarly, in the Offshore business, we have a lag to energy price recovery. And so a lot of energy price volatility and weakness last year had a negative impact on that business in the second half, which persisted into the first quarter, and we do expect that business to grow sequentially from here as well. I think Martin may have had a thought with regard to your prior question, Bob. Martin, anything you want to add with regard to capital allocation?
Martin Franklin: No, look, I think you really covered it well. I don't think that -- what I would tell you is that we're never against buying our own stock if we think that, that's the highest and best use of our capital. We've done that before, with hindsight, probably wish we did more. I would tell you that we're going to increase the dividend as you think you've seen and continue to look for other ways to return capital to shareholders. But as Ben rightly said, there are strategic opportunities that are good tuck-ins for this company that's still out there. We've proven, and I think Ben and the organization have proven that they can produce a significant amount of incremental value to the company by tucking those in and finding ways to take products into much broader territories, and they're going to continue -- we're going to continue looking for those opportunities.
Bob Koort: Perfect. Thank you.
Ben Gliklich: Thanks, Bob.
Operator: We'll go now to Duffy Fischer with Barclays. Your line is open.
Unidentified Analyst: Hi, guys. You have Sean here from Duffy's team. Good morning. I guess just -- I appreciate your commentary on the back half. But just to dig a little deeper, seems like your guide, you're implying roughly $240 million in EBITDA in the back half. As we think about just modeling Q3, Q4, at this juncture, is it fair to split that relatively evenly in your mind? Or would you push us one way or the other there?
Ben Gliklich: Yes. So we made some comments about this a little earlier, Sean, but it's hard to tell based on where we sit today if manufacturing patterns return to normal seasonality, which would have a bigger third quarter than fourth quarter. Or if major product launches from our OEM customers will be delayed again this year, which is part of what drew -- what drove Q4 of 2020 to be such an exceptionally strong quarter, right? Mobile phone launches, that typically ramp in Q3 and slow down in November and December, were pushed a bit. And so we saw very strong performance in those typically slow November and December into the first quarter of this year. So it's hard to predict what that phasing looks like. But a typical year would have Q3 being bigger than Q4. And given what 2020 looked like, we would expect pretty strong growth year-over-year in Q3 because we'll be lapping some of the, call it, ramp up from the Q2 shutdowns in Q3 of 2021. Whereas Q4 of 2020 relative to a very strong -- 2021 relative to a very strong 2020, you may not see the same level of earnings.
Unidentified Analyst: Got it. That's very helpful. And then just as a quick follow-up. What -- as we sit here today, just your working capital outlook for the rest of the year, assuming continued top line strength, it seems like your free cash flow guide may be a bit conservative. So I just wanted to get a sense of the puts and takes there. Thanks very much.
Ben Gliklich: Yes. So we had a big working capital build in the first quarter, and that was driven by increasing raw material prices and our building safety stocks, having quite a bit of product on the water driven by delays at ports. And our working capital build assumes, call it, modest additional investment or our working capital in our free cash flow forecast assumes modest additional investment, and there's some conservatism in that. The ultimate level of working capital is going to depend on seasonal sales patterns, which we were just talking about and how persistent the current supply chain disruptions remain. Are we going to want to continue to hold those levels of safety stocks? I don't know, Carey, if there's anything you'd add?
Carey Dorman: No, I think you hit it all, Ben.
Ben Gliklich: Thanks, Sean. Next question.
Operator: [Operator Instructions] We will go now to Jon Tanwanteng with CJS Securities. Your line is open.
Jon Tanwanteng: Hey. Good morning, guys. Thank you for taking my question. Really nice quarter and guidance out there. My first one is, could you please talk about your ability to recover pricing and margins in the second half? What's baked into your back half expectations today in terms of inflation and your ability to -- and your pricing power at this point?
Ben Gliklich: Yes. So we have a history of getting price when our raw material prices go up. In some cases, that's contractual, like in -- with our pass-through metals. And in some cases, it's not, but we've proven an ability to do so, and this is a market in which we can do so. But there is some lag there. And so we do expect some pressure on gross margins in the second quarter from raw material price inflation that we've seen year-to-date. We aren't taking a view as to the direction of raw material prices from here in our guidance. And so I think that it's fair to assume that the margin expectation is -- for the second quarter is reasonably consistent with the back half. Anything further, Carey? Anything else, Jon?
Jon Tanwanteng: Yes. Just a second, I mean, a high-class problem to have. It looks like you're getting close to hitting your 2022 stretch target. Are you already accruing for that comp? And including in your guidance? Just kind of tell us what's the expectation there.
Ben Gliklich: It was an ambitious target that remains ambitious. We haven't hit it yet. And so we'll cross that bridge when we do, when and if we do.
Jon Tanwanteng: Fair enough.
Operator: We will take a follow-up question from Josh Spector with UBS. Your line is open.
Josh Spector: Hey, guys. Thanks for the follow-up here. Just a question on Assembly and the strength in that business. Earlier in the call, you talked about how auto OEM production rates came in lower than you expected. But Assembly, on an organic sales basis, is maybe 10% above 2019 levels. What's going on there that you would highlight that's driving that upside and is it sustainable? Or is it share gain? Or how would you characterize that?
Ben Gliklich: The assembly business is having a great run, has a great momentum at the moment. There are a few things that drove the performance in the Assembly business. When you look at it on a year-over-year basis, we had the greater impact in Asia from COVID in Q1 of last year, and we lapped that. General electronics strength, not just high end electronic strength is supporting that business. And the Assembly business is one of our more industrially oriented businesses. Certainly, within the Electronics business, it's the most industrially oriented business. And so auto did have a negative impact on it, generally speaking, but our Assembly business sells really highly value-added specialized technology into the electric vehicle market, which is still growing very, very nicely. And we have ongoing projects with leading EV companies all over the world, the new entrants in the space, the legacy OEMs that are electrifying their fleets and that category of products is growing very fast. It's a high-margin category of products, got a great long-term trajectory from here. And so we do expect that Assembly business to continue to see outsized growth as we look forward.
Josh Spector: Okay. Thank you.
Operator: And at this time, we'll hand it back to Ben Gliklich for his closing remarks.
Ben Gliklich: Thanks, Catherine. Thank you to everybody for joining. We look forward to speaking with you again soon. Stay safe.
Operator: This does conclude today’s program. Thank you for your participation. You may disconnect at any time.